Operator: Good morning, and thank you for standing by. My name is John, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q2 2025 Beyond Inc. Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Melissa Smith, General Counsel and Corporate Secretary. Please go ahead.
Melissa Smith: Thank you, operator. Good morning, and welcome to Beyond Inc.'s Second Quarter 2025 Earnings Conference Call. Joining me on the call today are Executive Chairman and Principal Executive Officer, Marcus Lemonis; and President and Chief Financial Officer, Adrianne Lee. I'm also joined by Alex Thomas, Chief Operating Officer. Today's discussion and our responses to your questions reflect management's views as of today, July 29, 2025, and may include forward-looking statements, including, without limitation, statements regarding our future business strategy, goals, financial performance, outlook for the remainder of the quarter and any other period, anticipated growth, stock price, profitability, macroeconomic conditions, the value of any of our brands or investments, relationships with third parties and agreements we are entering into with them, margin improvement, expense reduction, marketing efficiencies, conversion, customer experience, changes to brand or websites, product offerings, blockchain efforts and strategies, tokenization efforts and strategies and the timing of any of the foregoing. Actual results could differ materially from such statements. Additional information about risks, uncertainties and other important factors that could potentially impact our financial results is included on our Form 10-K for the year ended December 31, 2024, and in our subsequent filings with the SEC. During this call, we'll discuss certain non-GAAP financial measures. Our filings with the SEC, including our second quarter earnings release, which is available on our Investor Relations website at investors.beyond.com contain important additional disclosures regarding these non-GAAP measures, including reconciliations of these measures to the most comparable GAAP measures. Following management's prepared remarks, we will open the call for questions. A slide presentation with supporting data is available for download on our Investor Relations website. Please review the important forward-looking statements disclosure on Slide 2 of that presentation. With that, let me turn the call over to you, Marcus.
Marcus Lemonis: Thanks, Melissa. Good morning, everybody. I am joined by Alex Thomas and Adrianne Lee. And before we get into their more prepared remarks regarding our results for the quarter, we wanted to open up the call with a slightly more conversational tone regarding how we feel about our Q2. When we started in October of 2024, just as a reminder, we were very clear about outlining certain operational metrics and guidelines that were really, really important to us, eliminating nonprofitable SKUs, continuing to improve the assortment, working very, very diligently on the site experience and how to retain customers as they come in, improving lifetime value, being clear around the guideposts of our operational metrics like a margin range of 24% to 26% on an annualized basis, looking at our selling and marketing expense, 13.5% to 14.75% on an annual basis within that range. And as we ended the quarter, what started to become very clear to us is that when we have very tight guideposts and very clear direction around what our objectives are, our company is able to prioritize those and deliver on them. Our revenue for the quarter at $282 million was a nice surprise for us, as we had expected revenue increase in Q2 versus Q1 with Q1 being our base for the balance of time, but we really got focused on 2 principal things in a very micromanagement way. And that was the performance of our patio business, which had long been a huge anchor for Overstock. And we had lost our way over the last several years, and we really wanted to pick one topic specifically where we can work on site experience, work on assortment, work on pricing and really prove that we can take a single item and execute. That ended up happening. And while our orders for the quarter that we delivered were up over Q1, what was really up nicely was the average order, largely led by patio. Now it's true that patio leads to a slightly lower yield on margin from a product. But as everybody knows, we don't pay our bills with margin percentage. We pay our bills with gross dollars. The second thing that we were very pleased by is the continual and quite frankly, consistent improvement of Overstock. For those of you that are new to our company, we abandoned the Overstock brand a little over 2 years ago and have brought it back and brought it back in a way that we are very happy, continue to see daily, weekly and monthly improvements at Overstock. And I think what's more encouraging is the type of contribution margin that, that brand is able to deliver. We saw really good performance in Overstock in newly launched categories like our luxury store in selling handbags -- designer handbags and shoes and really starting to separate ourselves at Overstock from the customer that had long been a both Bed Bath and a traditional Overstock customer as it relates to textiles, patio, rug, furniture. In Phase 2 of Overstock's growth, we are going to start leaning into what were big revenue drivers for Overstock in the past. So you'll start to see more in rug business. You can visit the site today and see the launch of our semiannual rugathon. You'll start to see more on the living room side. But when we think about price points, Overstock is going to traditionally, going forward, lean more into a slightly higher, more affluent customer who's looking for big brands at great values as opposed to a good, better, best, proper assortment at Bed Bath & Beyond built on both life events and furniture, patio and rug at all price points. Overstock is going to have a very acute focus. What we'll also be launching here in the latter part of Q3 is an expanded fine jewelry and fine watch category, selling watches ranging from Patek to Rolex to Franck Muller and a number of other products in between. And our primary reason for doing that, and it's really important to note that, that comes with a high AOV and a slightly lower margin, is really adding credibility and credence to what the overall Overstock offering is. We did a lot of research in the last 6 months going back to the legacy Overstock customers and focus grouping them over and over and over again. And what we learned is that the Overstock brand was built on confidence with big brands and high value with a discerning customer looking for great, great brands, luxury brands, in fact, at great prices. So we'll continue to lean in that and use that bait of things like Gucci bags and Rolex watches to convince consumers, both old ones and new ones, that when we put brands on the site and when we put products on the site, it's going to deliver super premium quality as we work on delivering white glove experiences with delivery and doing a variety of other things. We're not going to abandon Overstock's what I would call halo effect around how it handles liquidations for companies and how it deals with distressed inventory. That will always be a core part of the business. And you should expect partnerships to continue to develop with national liquidators as they use and utilize the Overstock brand. So that's kind of how we're feeling about our core business. And as we look at Q3, we're expecting continued growth over that Q1 base. We're expecting similar order count, potentially slightly higher in Q3. But it's obvious that what you should also expect is that the AOV is going to be a little bit lower because patio mixes out. But when we look at what the market expectations are for Q3, we're very comfortable with those guideposts and very comfortable with what the market has outlined for us and feel very good. You may have also noticed that the cash flow for the quarter was materially better than Q1. And some of that is a function of timing of payments and other things are really a function of us just managing inventory in and out, managing our SG&A really well. It's the best performing cash flow quarter that we've had in, gosh, several years. We're not satisfied with that result, because what we really, really want to see is cash flow being positive from operations, not just from other nuanced things, but we'll take credit for the nuances because they're real, but we want to see cash flow positivity. As we also head into the third quarter, you can expect us to continue to tighten up on SG&A. We believe there's additional opportunities in all areas of our business, not just improving on sales and marketing and not just tightening up on headcount and not just looking for more efficiency with shipping and returns and losses and customer service, but really everywhere here, because for the quarter, I think the thing that the employees of this company feel very proud about is that we're getting much closer to the mandated expectation that we don't lose money. Period. End of story. And so as you walk the halls of our office, the idea of just growing revenue for revenue's sake, that's not going to change. We are locked down on making sure that both products and vendors are delivering us profitability. And we're going to continue with vendor consolidation when there are certain vendors that don't make that possible. So that core business continues to get better. I think the piece that I like more about it than anything else is, as I told people over time, it will take a while -- back a couple, call it, 1.5 years ago, it will take a while to really figure out directionally and strategically, how we extract the most amount of value out of this company. And what we know for sure is having the core e-commerce operations deliver positive cash flow and not be the reason that the company is burning cash, but that's at the top of the priority list. As we get closer to that, it doesn't go to #2, but there starts to be other things that share that same shelf at the #1 level. Throughout the quarter, we looked at unlocking value in a number of ways. We were successful at creating a long-term partnership in Canada, where we were able to receive an upfront payment of $5 million and enter into a long-term licensing agreement where this company will receive the monetization of that IP into perpetuity. It's a big swing from us operating in Canada. And you'll see us do things like when we're not the best-in-class at operating at something, we still want to extract the value out of our assets and out of our IP, evidenced by the transaction that you see reported in our net income. We did receive the cash from that transaction the day after the quarter, so it will be reflected in our third quarter cash. We also continue to be very pleased about the strategic investment that we made in our retail partner business, Kirkland's, now known as The Brand House Collective. Our company here, Beyond, in Salt Lake City, its core competency is not to operate retail locations, not to spend our shareholders' cash on CapEx growth and things of that nature. But it is our obligation to extract every single dollar of value out of the IP that our shareholders own. We are excited to announce that the first Bed Bath & Beyond home store, that's a smaller format neighborhood concept that leans into Kirkland's strong categories along with Bed Bath, strong soft categories like top of bed, bath, tabletop, but it won't have a traditional low-margin, high-volume appliances, vacuums, that's not what this first model is. Part of the reason we went down this route is that both our company and Kirkland's, of which our company owns 40% of and has the right to convert to much, much more of that, needs to be diligent with every single dollar of CapEx. What I'm looking to see happen now is how do we grow revenue, how do we grow profitability and how do we grow return on assets, both in our core company, Overstock, and in the company that we own and, quite frankly, control in Kirkland's, and making sure that operationally, that our management team there, that we believe in wholeheartedly, is thinking about every single dollar, making sure that in the case of the first store conversion, we tightly manage what it costs to convert and we maximize revenue growth. I think Amy Sullivan, our CEO there, and myself and Adrianne would argue that we expect revenue improvement in that first location right out of the rip. But the cost to do it, the cost to convert that store, separate from the change in inventory mix, is less than $100,000. If we can prove out that we can deploy that kind of capital, get our brand out there, grow the revenue in that business that we are invested in, that will be Utopia for us. We will continue to invest in that business as we see fit here over the coming quarters, smartly, making sure that our shareholders have what they need from a return on their investment, but we feel very comfortable with that. I think the next piece, because those first 2 are pretty obvious, aren't really where we believe the explosive value creation can come from. We're going to deliver on our core business. I can promise you that. But as we start to really unpack where we think the value is, this asset-light business known as Beyond has 2 significant assets that we believe need to be significantly unlocked. You may have seen over the last several weeks that we have issued very strong opinion letters from myself to the Board of Directors at tZERO demanding a change in what has happened. We believe strongly in management's understanding of that business. We believe strongly in the technology that's there. The reason that we do is that we did 2 tokenizations, both with Overstock and buybuy BABY and saw great results. We saw a high level of engagement. But the time has come, particularly with the GENIUS Act passing, particularly with value being created by other companies in this space, who do not possess the patents, who do not possess the special licenses, to finally unlock the value. My expectation, and we will be very disciplined and very stern about this, is that we come up with a way to unlock the value and either see tZERO have an initial public offering, find themselves reversing into a SPAC, or find themselves potentially even utilizing the Beyond platform to unlock the value. Now the capital structure isn't easy at tZERO. And one of the things that was created several years ago was a token, basically a revenue rights. That's called the tZERO ROP token. There's about 21.2 million tokens that are out there. They trade on tZERO. Our company owns 3 million of them. We are the largest, most influential token holder. As we look to drive change, and whether that's on the board, whether that's with the way it markets or its technology or the way it goes to market to raise new capital, bring on new partners who have real-world assets, we understand that, that capital structure has to be attractive. When you look at the tZERO ROP holders, of which we are the largest, we have had to recognize on our own that the conversion of those tZERO ROP tokens into some form of equity, my preference is that it's preferred into some form of equity, gives the company the ability to go out and do things that it needs to, to either raise capital, to come up with a liquidity event, to go public, to do a lot of different things. So we're going to be working closely to determine and represent those tZERO ROP holders, of which we are the largest, a way for that to be converted at a value that we are comfortable with. It is of no interest of ours to have tZERO ROP, particularly our interest, be a blocker and block the unlock of value. When you look at tZERO's ability to bring things on to its platform, particularly global real estate, real-world assets, along with partnering with other firms that can bring all sorts of other IP, including sports teams and a variety of other things onto this platform, we believe the money is ripe and ready to pour into this platform. And because we believe that, we are going to drive expeditious change. It may seem a little angry at times, it may seem a little hyperbolic, but at the end of the day, we believe the window is clear and it's not forever. As it relates to our GrainChain asset, we couldn't be more proud of what Luis and the team have created there. For those of you that are not familiar with it, on the surface, it looks like blockchain technology with unbelievable field technology that allows agriculture around the world to be able to access the capital markets by using this technology. But what's become more clear, and we've communicated to Luis, and he is on board with this idea, is that GrainChain isn't just an agriculture supply chain tool, it's a supply chain tool for manufacturing around the world. The reason that's relevant is that the TAM that everybody identified for GrainChain, particularly in the agriculture space, was massive, but it's miniscule compared to the macro opportunity when you look at the supply chain opportunity overall. Now GrainChain is a private company, and we will continue to respect the fact that it's a private company. There have been a couple of announcements that have happened, but I will tell you, without spilling the tea for the party, that there are a number of other transactions that Luis has already signed, already engaged in, that he's not prepared yet to announce, but I can tell you that our confidence level is massive. So massive that if there was another opportunity for us to invest in that particular business, one of the uses of our capital on our balance sheet would be to continue to invest in that business. We are really a split personality business. We operate a core e-commerce business, but we have a goal and a desire to continue to deploy capital intelligently in the blockchain, Bitcoin and the whole crypto space when we see investment opportunities that can be wildly accretive for our business. Over the last couple of years, we've been shown a number of deals, but we weren't willing to take our hard working capital and risk it until we stabilized our core business. Now that our core business is stabilized, you could expect us to opportunistically look for transactions in the technology space and quite frankly, in any space around the businesses that we're involved in for opportunistic accretive investments. We love that. Our shareholders can also expect, as we stabilize our cash flow, for us to park a certain amount of cash in Bitcoin, a bit of a Bitcoin reserve. And as we start to generate additional capital, we'll do the same. We want to make sure that every dollar that sits in our till that our shareholders have given us are being deployed in a way that extracts value in every single way. To sum it up here, we recognize that the retail business has had a rebound and is stabilizing. And boy, are we praying for a housing market to return and an economy to stabilize. Because the one thing that shouldn't be lost on everybody is in a proper, normal, stabilized housing market, where the consumer feels a little better about spending money, Beyond will be a massive winner with tailwinds coming behind the revenue that has been suppressed with a new cost structure that will drop massive incremental cash flow for every dollar that will be generated over the revenue number. One piece that we are going to commit to today is the exploration of something that came over in the shareholder letter about a week ago. Now the shareholder letter that was published by Shay Capital is one of very many communications we have, both with them and a lot of different shareholders. We're operating our company very differently than we used to, where we look at some of our larger shareholders and some of our individual shareholders who have ideas that maybe we haven't thought of. They have ideas of different ways to think of things, how to unlock value. And while every single idea that we see in front of us isn't going to get executed for a variety of reasons, there are certain ideas that we think, wow, we didn't think of that. One idea that we're exploring, and you'll be able to see it in the slides that have been issued today or the slide deck, you will see that our entire Medici portfolio has been disclosed, and our ownership stake in them have also been disclosed. In what form it takes in have also been disclosed. For those of you that have been around a while, there's this misnomer that the bulk of our blockchain assets are held in our Medici portfolio and controlled under a transaction that we entered into with Pelion. While it is true that some of our assets are held there, it's important to note that there's also a significant amount of value, both in tZERO, the tZERO ROP tokens, and our GrainChain asset, where we have direct interest. If you go on to the investor site later today or even after this call, you're going to see a chart, and it shows you tZERO, tZERO ROP, GrainChain, and then it lists all the Medici portfolio companies that were there, unbelievable company like Ripio, great company like Voatz, and a variety of other ones. We are committing, as we sit here today, to explore the issuance of a contingent value right. That is a contract for the revenue that could be created in the liquidity event all the way down to $1.01, net of any fees that Pelion may get paid or any fees that a lawyer or a transaction may come with. 100% of the net revenue associated with the companies in the Medici portfolio, excluding tZERO and GrainChain, we are exploring issuing a contingent value right. Let me give it to you in plain English. It is our goal to issue a dividend. That's what a contingent value right would be. It would be the dividend of a contract, and that dividend would come on something like a 10 for 1 or 5 for 1, meaning for every 10 shares you own, we would issue you 1 contingent value right contract. That number has not been solidified. So I use 10 as an illustrative example. It is not a security. You don't need to pay for it. There will be a record date. That record date will be issued as soon as Adrianne has confirmation from the New York Stock Exchange on the process to issue the contingent value right. Every shareholder in that record date, which we expect that record date to be here in short order, I don't want to put a number of days on it, but it shouldn't take that long, will be issued as a dividend. We expect that dividend, that contract right to trade, so that every shareholder that is a record holder that owns 10 shares on that given day will be given 1 contract. That contract will give you the right to all of the net proceeds that could be created in the entire Medici portfolio other than tZERO, any cash generated or equity generated from tZERO ROP or any cash generated from GrainChain. As shareholders, you already will enjoy the value that will be created both direct and indirect on those 2 pieces. So we'll be able to answer many more questions in the Q&A, but that's essentially the state of the union. I'll now turn it over to Adrianne Lee.
Adrianne Lee: Great. Thank you, Marcus, for that helpful insight into our 2Q results, our company strategy and how we intend to create shareholder value. With that, I'd like to turn to details on our second quarter financial results and the progress we continue to deliver. Revenue declined 29% year-over-year in the second quarter, but improved 22% versus the first quarter of 2025 as we committed to on our last earnings call. The 22% increase was driven by a seasonal AOV improvement of $25 and an 8% increase in orders delivered. The AOV improvement of $25 was due to solid promotional execution in seasonally relevant categories. We made significant progress on stabilizing the business and getting back to our e-commerce fundamentals, providing an improved assortment, competitive and engaging promotions, all while improving our site experience, which Alex will discuss in detail later. Gross margin landed at 23.7% for the quarter, a 360 basis point improvement compared to the same period last year. Although the print was slightly below our anticipated range, it was driven by our focus to exceed our internal sales target on outdoor categories. I am pleased with this outcome and to see that our unique business model is competing again in established categories where we can win. While we have shown consistency improving our margin profile over the last 5 quarters as we work the 6-part plan I outlined at the beginning of 2024, and I expect the team to maintain our margin guardrails and disciplined approach going forward. Sales and marketing decreased by $28 million or improved its efficiency by 320 basis points as a percent of revenue versus last year and was flat as a percent of revenue to the first quarter 2025. This illustrates our ability to generate sales and maintain necessary discipline. The decline year-over-year was mainly driven by the intentional reduction of less efficient spend while investing in channels that are more contributory. We are still finding efficiencies and productive customer journeys in our own channels to help us achieve our targets. The team is committed to doing this day in and day out while improving the site experience and sharpening pricing to support conversion. G&A and tech expense of $37 million decreased by $9 million year-over-year as a result of our commitment to reduce fixed costs by an annualized amount of $80 million. I am pleased that we have delivered on our commitment to achieve a $150 million annual run rate. We continue to be disciplined with our capital deployment, identifying efficiencies and automation and restructuring to create an agile, simple way to operate. All in, adjusted EBITDA came in at a loss of $8 million, a 78% or $28 million improvement versus the second quarter of 2024 and an improvement of $5 million over the first quarter of '25. Reported GAAP EPS was a loss of $0.34 per share. Excluding losses recognized from our equity method securities, adjusted diluted loss was $0.22, a $0.54 improvement year-over-year. We ended the quarter with cash, cash equivalents, restricted cash and inventory at a solid balance of $156 million. Year-to-date cash used in operating activities improved year-over-year by $75 million or 68%, illustrating significant progress against our transformation initiatives and the stabilization of our core operations. With the vast majority of our restructuring behind us, our organization is lean, and we are creating simpler yet effective ways to operate, maniacally focused on our key KPIs. I believe that we have now stabilized the business, have the right team in place and are well positioned to keep driving improved results. With that, I'd like to turn the call over to Alex Thomas to provide some additional details on our fundamental operational improvements.
Alex Thomas: Thank you, Adrianne. Our team remains intensely focused on delivering the committed targets we laid out at the 2024 investor event, which are improved marketing efficiency, enhanced conversion rate, margin expansion and expense discipline. Our second quarter results reinforce confidence in our road map, focus areas and our ability to execute. Through the period, we enhanced our customer experience by making key upgrades in search and navigation, creating shopping experiences around relevant themes like flash price drops, back-to-school and luxury home, continuing the removal of unfavorable product listings and importantly, executing engaging, seasonally relevant promotions across all channels. We addressed assortment gaps by delivering offerings at key price points in name state categories like Bed and Bath. Further developing incremental categories like designer jewelry and apparel on the Overstock banner, sourcing better, best branded products, which we continue to observe strong demand responses from these assortment and site enhancements across our banners and platforms. We progressed our efforts to simplify and unify our tech stack, which will drive cost efficiency and feature development speed in the back half of '25 and 2026. We have a lot of work ahead, and we look forward to it. With that, back to you, Marcus.
Marcus Lemonis: Thanks, Alex. As we get into the Q&A, I just want to make sure we have a quick summary for those that may have missed it. We are going to continue to grow and stabilize the cash flow of our core business. We are focused on the issuance of a contingent value right here in very short order with the record date to come. That will be a specific dividend to all shareholders on a 10-for-1 or some version of that basis. We are focused on developing a Bitcoin reserve along with getting back to taking Bitcoin and keeping it on our balance sheet as Overstock did years ago. We are very focused on getting the unlock of value out of tZERO and making sure that both the tZERO ROP holders, of which you are the largest, and the equity side, of which you are the largest at 52%, continues to be at the top of our list. We are continuing to be focused on finding ways to unlock GrainChain value, and we'll be exploring different ways for our shareholders to see that. As a reminder, our company continues to have about $68 million left on its repurchase program and just over, I think, about $131 million left on the ATM. As people may or may not have noticed, the ATM was not used in the second quarter, and we bought back, I think, a little under $1 million worth of shares. We'll continue to play that arbitrage to ensure that the value of our stock represents the value that we believe the business is, and we'll turn it over for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Steve Forbes with Guggenheim.
Steven Forbes: Marcus, can you provide an update on the SKU rationalization efforts across Bed Bath & Beyond? Are we nearing completion there? And then given your comments on leaning into a slightly higher, more affluent customer for the Overstock banner, would love to hear you just expand on what's driving the confidence there? And any key metrics you can provide on how the consumer is engaging with the designer shop on Overstock?
Marcus Lemonis: I'm going to have Alex take the first half. I'll take the second.
Alex Thomas: SKU rationalization works, we continue to pursue. I would say we are through the heavy lifting of that portion, but however, that job is never done, right? We're always fine-tuning product content, looking at our kind of traffic sources and making sure that our assortment is right there. I would say the heavy lifting, right, is complete. We continue to fine-tune on the Overstock side as articulated. And then where we're really excited as these incremental categories that drive incremental visits, right? So those categories like designer, like jewelry and apparel.
Marcus Lemonis: Steve, if you visit the Bed Bath & Beyond website today, you're going to see a far more laser-focused assortment. And my edict to the team was that I want to remind the legacy Bed Bath & Beyond customer that the same product assortment and presentation, quite frankly, that they experienced at the store level would show up online. And so if you go through the site today compared to what it was 6, 8, 12 months ago, you're going to find that it's far more thoughtful. It's laying into the legacy trade dress that we own with the coupon and not crushing our margin. It's really thinking about back to campus and a variety of other things. And it's gotten really refined and the SKU rationalization will continue to happen. There will be a point here in very short order, as we start to open stores again, where there's going to be a larger collaboration between the store merchants that exist in our Bed Bath Home and our True Blue stores and what we're doing online, so that the customer experience, as they walk through the door, isn't dislocated. And our idea is really to build an endless aisle concept at each store over time, very slowly and very thoughtfully in a very testing model. But to make sure that the promotional cadence the messaging, the pricing, those things start to be in line. And this will be first thing for bedbathandbeyond.com, because here in Salt Lake, they have never had to think about that omnichannel experience. But as we look to drive transaction count, as we look to drive lifetime value, as we look to drive average order size, those 2 things need to be far more symbiotic. When you look at the shift to Overstock, it really came from spending about 6 months and a couple of hundred thousand dollars doing a ton of research on what was it that drove Overstock when it was doing $1.5 billion in its heyday, not during COVID, by the way, not in COVID when everything was selling no matter what marketplace put on there, from China cheaps*** to a bunch of other stuff. We needed to get away from that and think about what did it look like absent '21 and '22. and then start to understand who is that customer profile, what did they buy? And we started reengaging with them. And we started asking them, what is it that made Overstock different from every other retailer out there. And what we heard was great brands at unbelievable prices. We started looking at the demographic, the socioeconomic demographic of that customer. Household income well over $150,000. Credit score well over 700. And quite frankly, a lot more affluent. The age gap was 45 to 75. It's not a younger person's audience. It never has been. And so what we're seeing is as we continue to lean into that, we're starting to see that pop. We are selling more designer handbags and more designer shoes than anybody would have ever guessed. And the margin profile is okay. It's 22% to 24%. It's not mind-blowing. But what is good about it is the gross profit dollars that are contributing. The identification of that consumer coming back and our ability to use fine time pieces, jewelry and luxury goods to bring people into the ecosystem and retarget them with higher-end furniture, $12,000 patio furniture sets that we sell, 8-carat diamond rings, which we're selling. We're surprised by that. That doesn't mean that we're not going to bring in an aspirational buyer, someone who says, I can't afford to buy everything here, but I want to buy one thing. So we're trying to really find that balance, and it's showing up in the P&L, both in top line order count and revenue.
Steven Forbes: Super helpful, Marcus. And then a quick follow-up. You mentioned being pleased with Overstock's run rate and contribution margin. I think it's been a little while since you've commented on the run rate of Overstock. So curious if you can update us there. And then as it pertains to contribution margin, like you sort of just did with designer bags, any way to frame that versus the company average or the guidepost you have?
Marcus Lemonis: We're not breaking that out at this time, but I will tell you that it is our goal, hopefully, in 2026 to start breaking out the revenue by channel, so people can see it, particularly Overstock. Buybuy BABY is still too small and will probably stay as a baby under Bed Bath, but we do want to see Overstock broken out in 2026. From a contribution margin perspective, it is more solid because we're not having to chase commoditized products the same way. And so it really is a function of it's less expensive to market for that business. So the frictionals are a little better. The gross margin profile, it looks relatively the same. It depends on the seasonality, but the contribution margin difference between Bed Bath and Overstock is largely driven by the sales and marketing expense. And that's why we want to lean into it more because it's obviously more profitable for us.
Operator: Your next question comes from the line of Thomas Forte with Maxim Group.
Thomas Forte: So one question, one follow-up. And first off, Marcus and Adrianne, congratulations on all the very significant progress. On the tZERO front, I was trying to figure out a way, Marcus, to ask this as simply as possible. So with crypto treasuries and stablecoins, it seems like now is the perfect time for tZERO to go public. You're the largest shareholder. Simply put, can you compel them to go public?
Marcus Lemonis: We can compel them in a variety of ways, but what we think is better for everybody is to have mutual alignment on value creation. And we know that our partners at ICE are equally motivated to monetize their $50 million investment. And we know that the management team, who has been issued material grants and RSUs, is equally motivated. And without the tZERO ROP unlock and without some liquidity event, either in backing into Beyond and using it as a public vehicle, and backing into a SPAC and using that into a public vehicle, we want some shelf registration of some kind done. And we know that for tZERO to grow and for the management team and our other partners to enjoy the value, the tZERO ROP tokens need to be converted and the tZERO ROP tokens aren't going to be converted until we're satisfied with the changes that are being made. And so we don't ever want to be into a pissing match with the business that we are the largest shareholder of, but we want to be stern and matter of fact that the time has come. It's not tomorrow, it's not next year, it's right now, and we expect to have our value unlocked. Hundreds of millions of dollars have been deployed into that asset. We have spent a lot of time waiting for the return on capital. We have spent way too much time. And when we look at the value of the market cap of our business, we believe that the market cap -- the potential market cap of tZERO is greater than the market cap of our business in total. And so everybody is going to have to convince us on a lot of different fronts that now isn't the time. I don't think that's going to happen. And from a legal standpoint, we reserve all of our rights and we'll leave it at that.
Thomas Forte: Okay. And then for my follow-up, we'll go with 2 first, so I apologize. So on the contingent value rights issuance, it sounds like a brilliant idea. Could that trade on the tZERO platform? And then this is probably premature, and I apologize, but how should investors think about, at a high level, a potential time line for GrainChain IPO?
Marcus Lemonis: Let me address the first. It is our goal to have the contingent value right trade on the New York Stock Exchange, where we know that there's going to be a tradable market for our large institutional investors. And one of the things that I think Overstock may have miscalculated in the past is when they issued a dividend. In an attempt to do whatever they were trying to do, they issued it on a platform that has a lot of credence to it, but doesn't have a lot of visibility yet. And we know that we've learned from our big holders, very large institutional holders that love our business, is that, please, if you do a dividend, do it in a way where I could actually receive it, where I could trade on it, where I could buy more of them or I could sell them. And the key to me is having that contingent value right, trade and trade properly and establish value. We know that there is a massive short position out in our company. And we want to make sure that everybody understands that the purpose of doing this is to provide value for our shareholders. There may be some benefits that come from it, but making sure that it's tradable and making sure that it's accessible is really what unlocks the value of all of it.
Thomas Forte: GrainChain IPO timing? I know it's premature.
Marcus Lemonis: I don't think it's premature. Like we've had a lot of discussions internally about do we look at taking a very small portion of our direct interest that we control. GrainChain doesn't control it, Pelion doesn't control it. And just as a reminder for everybody on this call, Pelion does not own any interest in the Medici portfolio other than 1%. We own 99% of it. And so when people say, how much money is Pelion going to make, they are paid an annual fee, that's already been prepaid. They do have a 1% stake in the portfolio, and they are given a percentage of the upside over a floor. But the real value in that whole portfolio, it lies with the Beyond holders. Don't ever be confused that anybody else is going to take that. So we've explored this idea, and it's not something that we're pushing go on today, that if Luis wants to establish value or if Luis wants to raise more money or if Luis wants to go public, we definitely want to help him do that, because we probably have a more optimistic view of the value of his business that he does because he's a conservative, very intelligent founder operator. But we know that our shareholders want a marker. They want to know what that thing is worth. I can tell you that the revenue is around $60 million, and we're very happy with the growth that we've seen year-over-year there. And so one thing that we've explored is do we do a dividend and have it be like a tracking stock, same kind of way on NYSE, that takes a very small portion of our GrainChain asset and distribute it out to our shareholders on a record date and do the same thing that we're continuing with the CVR. It's possible. But the primary goal in doing that wouldn't be to do anything other than to create a marker on the value. And I don't want to create a marker on the value until Luis has communicated and disseminated all of the transactions that he's entered into, because the value creation in the next 12, 24, 36 months is explosive if you knew what deals he had done. And we don't want to violate our good standing relationship with him in doing that. We want him to do it at his own cadence. When he does that, that's when we're going to bring back up the possibility. Good news is, for everybody that owns Beyond stock, you own a large percentage of GrainChain. You can look at the table that was provided on the investor deck and see there.
Operator: The next question comes from the line of Seth Sigman with Barclays.
Seth Sigman: I actually wanted to follow up on that last point on the opportunity to extract value. We'll look for the disclosure on the website, but we are getting some questions from investors. Is there anything else you can share on this call about Beyond's ownership of some of the larger assets besides tZERO? And then I have a follow-up.
Marcus Lemonis: What other assets besides tZERO and GrainChain?
Seth Sigman: Yes. I mean if you could just disclose the ownership of those and anything else that you're going to be posting on the website, I think, in advance would be helpful.
Marcus Lemonis: It's up there now, but I'm going to walk through it just because it's a question that deserves to be answered. So our total equity in tZERO is 53%. It's 6% in the preferred from a direct ownership standpoint, 23% in common. In the indirect, it's 2% preferred, 23% common. On the tZERO ROP, we own 14% of all of those tokens. On GrainChain, we own 9% direct. It's in a convertible note of $10 million. People have asked me if the note is converted. No, I'm not going to convert it because I'm continuing to accrue interest and the conversion is already set, and I don't want to give up our security or our interest, but we can convert it at any time. and then 14% in our indirect. And then the balance of those, Ripio, which is an outstanding company, huge, great value, we own 2%. Voatz, we own 17%. Those are both, by the way, indirect. And then you can go down the rest of the list. That slide deck is available. When we talk about the contingent value right, that we are exploring issuing, it would be Ripio on down. So everything on that list that you see out there today, Ripio, Voatz, PeerNova, Spera, Chainstone Labs, Finclusive, Minds, SettleMint, all of those will be part of that CVR.
Seth Sigman: Okay. Perfect. Very helpful. Back on the retail business, if we focus on patio, if we use that as a case study this quarter, what did you guys learn about what worked? What you were able to prove through the work that you did there? And any other, I guess, data points you can share on how that gets you excited about the opportunity as you sort of manage this really from a bottoms-up perspective across the assortment?
Alex Thomas: Great. Yes. I think we talked about SKU curation, right, SKU curation. And so I think with the patio, we were really proud of the assortment that we had and then how we brought it to market. But I think just quite simply, it's creating the engaging promos with the right assortment at the right price point and putting that puzzle together right. And I think we're proud of that effort in Q2, and we look forward to doing it in quarters to come with other categories as we expand.
Operator: Your next question comes from the line of Jonathan Matuszewski with Jefferies.
Jonathan Matuszewski: First question was just on pricing. You guys obviously have a unique inventory model. But what are you hearing from vendors on your marketplace regarding their current approach to offsetting tariff headwinds? I think weeks ago, we were hearing from industry peers that suppliers were generally competing more for unit share and generally abstaining from price hikes. What are you guys seeing today?
Marcus Lemonis: We've seen some modest price hikes. And as I walked the Furniture Show on Sunday in Las Vegas and talking to a number of vendors of how they're handling it, they're acknowledging the necessity for them to absorb a big chunk of the tariff increase. I think we have everybody believing, as the marketplace does, that the elasticity with the consumer on goods such as we sell don't have a lot of room for flexibility. And we're going to obviously be fighting that battle to keep every last percentage point. But we're having to work on finding unique things, both in the creation of unique things with some of our vendors and the stocking of some unique things. Just as a reminder, we don't traditionally carry inventory in a big way, but we do carry anywhere from 10 to 15 at any given time just to take advantage of those opportunities. So Jonathan, I don't think we're going to see much in the way of pressure on our margins from tariffs. We think the manufacturer is going to absorb most of it. If there's small things to be passed on, I think it may be on the short term until the new source of that product comes in. We are seeing a significant shift away from China. And a number of our manufacturers had already had that in the works when the new administration was put into office. But the percentage of our business that's reliant on China is significantly lower than it was a year ago and hopefully will continue.
Jonathan Matuszewski: Very helpful. And then just a quick follow-up. Obviously, some good EBITDA momentum this quarter. How does that influence your time line for breakeven?
Marcus Lemonis: Well, one of the things that I wanted to see was a specific month where we can do it. I was always looking for that inflection point. And there were moments inside the second quarter where I got really, really excited when a month closed. I'll leave it at that. And rather than setting ourselves up for failure, which as everybody knows, when I first got here, we made that mistake. I'm focused on just getting there. But I also want to grow the business at the same time. And so we have to find that balance. We have the cash burn down to a number. And as everybody can see from the cash flow statements, we were cash flow positive for the quarter based on timing. We are getting very close to me not worrying so much about it and now looking for growth. I don't ever want to say that losing $8 million in EBITDA isn't a big deal. But it isn't earthshattering when you're relaunching Overstock, launching buybuy BABY, trying to stabilize and grow Bed Bath & Beyond, working on a variety of other initiatives to improve the unified code base and do all those things. I'm not devastated by it. I'm not happy with it, but I'm not going to continue to cut like I was cutting before. The mindset of cut until we get there has left the building. Now it's we need to generate revenue, we need to improve margin. We need to lower our variable expenses in generating that to get to positive 1. Sure. Are there little things that we can cut here and there? Of course, there are. But we have changed our mindset from this transformative cost cutting, everything has to go mindset to let's find new vendors, let's look for new innovative products, let's invest in new technology. And if there's a cost associated with that, let's disclose that. For example, I would say of the burn in Q2 of the EBITDA loss, about $1 million came from working on the unified code structure that we're working on. About $1 million came from testing in new categories. About $1 million came from trying new marketing techniques. We could have avoided doing that. I don't think we would have had the quarter that we had. I think if we had not invested that, we may have lost $11 million, $12 or $13. So we're now in the mindset that we need to invest and we need to do it smartly. And the way that we do that and justify it is that we find transactions like the deal in Canada, where we get a $5 million upfront payment and we get a revenue in perpetuity, and we use that money to invest. That doesn't show up in our EBITDA number. That $5 million is in our net income, not in our EBITDA. If it was in our EBITDA, we would have been negative $3 million. We don't want to play that game. We want to have good fundamentals, get the revenue up, get the margins in that range, get the SG&A down and start to sell things. That's how we make money.
Operator: Your next question comes from the line of Bernie McTernan with Needham.
Bernard McTernan: Maybe just to start, and apologies if I missed it, but was patio up year-over-year given the changes you were making? And the reason for the question is just trying to think through getting the whole company back to positive revenue growth as you add more categories to that focus list. So really trying to get at, do you think positive revenue growth is a reasonable bogey for next year?
Marcus Lemonis: I believe that our material improvement in EBITDA was a function of mixing more into patio and more profitable patio transactions. Our revenue year-over-year in patio was down. Our contribution margin on patio was materially up. When we went back and looked at what we did in patio in 2024, for the entire quarter of patio, we lost money on the contribution margin side. And for those that are not familiar with how that works, we generated product margin and then all the money that it took to market it, deliver it, return it, but all of those things actually was negative, and we were not going to walk into that. So when you see the positive revenue growth year-over-year, it's not positive year-over-year. It's positive revenue growth first quarter to second quarter, but it's material positive contribution growth and gross margin growth year-over-year.
Bernard McTernan: Yes. That makes a lot of sense. And then also I just want to touch on the Bitcoin reserve and really just...
Marcus Lemonis: And then I'm sorry, I didn't answer the second part of your question. We expect to have patio revenue growth in '26 against '25, yes.
Bernard McTernan: Okay. Understood. And I just wanted to ask on the Bitcoin reserve. Really, maybe just speaking high level, why is this the right thing to do for the company? And how should we think about that reserve getting built up? Would you trade your own equity for Bitcoin? Is this going to be -- as cash from ops turns positive, that's going to be a use of cash? Just any more detail you could provide?
Marcus Lemonis: Cash from ops turning positive, number one. Number two, if we feel like we're in a good cash position, we may deploy some of our existing cash and transfer it over into that reserve. We are a technology blockchain company. This is what we do. This isn't some like fun thing that we just decided to get into. The company used to have it, and it needed to get rid of it to generate cash to keep its doors open. We no longer are at a point where we're worried about our doors being open, and we want to try to think about ways to make money. We believe that accepting it as commerce and putting it on our balance sheet is back to what we should be doing. We can't be out there selling this whole new blockchain idea, new currency model and not believing it and participating it. Are we going to bet the farm? Of course, we aren't. We would never do that. Are we going to go out and raise $4 billion to put it on our balance sheet? Of course, we aren't. But we are going to start to lean into it because that's who we are, and we want to make money on our money.
Operator: And that's all the time we have left for Q&A. I would now like to turn the call over to Marcus for closing remarks. Please go ahead.
Marcus Lemonis: Great. Thank you so much. We're obviously looking forward to our call backs, and we'll be answering questions as we deliver Q3. Thanks so much.
Operator: Ladies and gentlemen, that concludes today's conference call. We thank you for your participation. You may now disconnect your lines. Have a pleasant day, everyone.